Operator: Ladies and gentlemen, thank you for joining us, and welcome to the Telephone and Data Systems, Inc. Enderae Fourth Quarter 2025 Operating Results Conference Call. After today's prepared remarks, we will host a question and answer session. If you have dialed into today's call, please press 9 to raise your hand and 6 to unmute. I will now hand the conference over to John Toomey, Treasurer and Vice President of Corporate Relations. John? Please go ahead.
John Toomey: Good morning, and thank you for joining us. The presentation we prepared to accompany our comments this morning can be found on the investor relations sections of the TDS and Array websites. With me today in offering prepared comments are on behalf of TDS, Walter Carlson, President and CEO; Vicki Villacrez, Executive Vice President and Chief Financial Officer; on behalf of TDS Telecom, Ken Dixon, President and CEO of TDS Telecom; Chris Bautfeldt, Vice President of Financial Analysis and Strategic Planning of TDS; and on behalf of Array Digital Infrastructure, Anthony Carlson, President and CEO of Array. This call is being simultaneously webcast on the TDS and Array Investor Relations websites. Please see the websites for slides referred to on this call including non-GAAP reconciliations. TDS and Array filed their SEC Forms 8-K including the press releases earlier this morning. As shown on slide two, the information set forth in the presentation and discussed during this call contain statements about expected future events and financial results that are forward-looking and subject to risks and uncertainty. Please review the safe harbor paragraphs in our press releases and the extended version included in our SEC filings. I will now turn the call over to Walter Carlson. Walter? Thanks, John, and good morning, everyone. We are pleased to report to you today our fourth quarter performance, review the progress made on our priorities for 2025, and share our goals for the future. As set forth on slide three, 2025 was a transformative year.
Walter C.D. Carlson: We completed the largest transaction in our company's history and significantly strengthened our balance sheet. By divesting our wireless operations, we believe we have now positioned Array for success as a growing tower company and we now have the financial capacity to support TDS Telecom as it continues to expand and grow its fiber operations. Our speakers this morning will highlight many of these accomplishments in more detail shortly. But let me summarize by saying that the TDS team of associates accomplished much in 2025 during a year of significant change. As we look forward to 2026, we have five fundamental objectives for the enterprise as outlined on slide four. We plan to continue our efforts to strengthen the TDS corporate and capital structure. Vicki will share more details on those topics in a moment. We will continue to grow TDS Telecom's fiber business and work to delight our customers. Ken and Chris will share with you updated fiber address goals and other success targets. We intend to support Array's success as a tower company and continue our efforts to successfully monetize Array's remaining spectrum holdings. Anthony will highlight Array's expectations for the year. We also intend to strengthen TDS' culture while delivering strong operational and financial results across all of our businesses. I want to personally thank every associate across the enterprise for their contributions in 2025 and look forward to all that we will accomplish together in 2026. I will now turn the call over to Vicki.
Vicki L. Villacrez: Thank you, Walter, and good morning, everyone. As I shared last quarter, across the enterprise, we continue to focus on moving the announced spectrum transactions forward as well as executing on our capital allocation plans. Slide five highlights our progress in these areas. In January 2026, Array closed on the announced spectrum sale to AT&T for $1,018,000,000. Of the special dividend or $726,000,000. Additionally, in January, TDS repaid the last of our outstanding term loan debt of $150,000,000. With this further debt reduction and cash from the proceeds of the closed transactions, we are pleased with the flexibility this affords us to execute on our capital allocation priorities. As a reminder, our TDS capital allocation plan has three key elements. First, continued investment in fiber. With the proceeds from the special dividend related to the AT&T spectrum, we are increasing our fiber goals. As you will hear from Ken in a moment, while we are still in the early stages, we have identified 300,000 additional fiber edge out service address opportunities across approximately 50 new communities where we believe we can be first to market and achieve returns in the mid-teens, and we are increasing our marketable fiber service address goals. Second, as it relates to M&A, we continue to evaluate fiber opportunities in a financially disciplined, accretive, business case-driven fashion. Third is shareholder returns. In the quarter, we invested $67,000,000 to repurchase 1.8 million TDS common shares bringing our total 2025 repurchase volume to 2,800,000. As announced in November, the TDS board authorized a $500,000,000 increase to the then existing share repurchase program. As of the 2025, we had $524,000,000 remaining on this open authorization. The company intends to continue to be disciplined in the timing of its repurchase activity balancing the needs of the business and market conditions as we move forward. Looking back at 2025, we made great progress in transforming our businesses. We continued to unlock significant value and generated significant returns for our shareholders, particularly in the form of transaction-related special dividends at Array. I am incredibly pleased with how we have positioned the businesses for the future and aligned our capital allocation strategy with our growth opportunities and return to shareholders. Thank you. And now I will turn the call over to Ken Dixon to discuss TDS' fiber business. Thank you, Vicki, and good morning, everyone.
Kenneth Dixon: I would like to provide an update on our fiber strategy progress. We still have work to do to improve execution, modernize our systems, and continue to scale our build and install operations. The foundation we have built positions us well for the future. Before I talk about where we are headed, I want to share our 2025 full year and fourth quarter performance. As set forth on slide seven, in the fourth quarter, we added 58,000 new marketable fiber addresses, up sequentially over Q3 and up 39% year over year. For the full year 2025, we delivered 140,000 new marketable fiber addresses and expanded our broadband footprint. Execution improved throughout the year. We delivered 40,000 marketable addresses in the 2025 and 100,000 in the second half, showing momentum as our construction engine accelerated. The fourth quarter was our strongest build quarter since 2023, and it was supported by record high construction crew counts. We did not reach our 150,000 address goal. However, we continue to make progress. We know what it will take to reach the level of output that we are targeting and we are focused on carrying this progress into 2026. Looking at sales, in each quarter, we delivered sequential growth in residential fiber net adds. We ended the fourth quarter with approximately 15,000 fiber net adds, up 11% from the 2024, bringing us to approximately 45,000 residential fiber net adds for the year. Driving sales and increasing penetration across our fiber markets remains a top priority as we work to achieve our long-term objectives. We also made progress in our business transformation program in 2025. Through process improvements, organizational alignment, and targeted investments in best-in-class tools, we are strengthening the efficiency and agility of our operations, all with the focus on providing a superior customer experience. These improvements will be foundational to delivering consistent scalable performance as we continue expanding our network. We are continuing to optimize our portfolio to strengthen our strategic focus. The divestitures in 2025, which included the mid-year sale of Colorado and, in December, the sale of our Oklahoma ILECs, have concentrated our footprint in markets with an economic path of fiber. Turning to slide eight, the progress we made in 2025 and the availability of additional capital to invest gives us confidence to expand our long-term fiber goals. We have identified 300,000 fiber address opportunities in new edge out markets that are increasing our long-term goal from 1.8 to 2,100,000 fiber addresses. With that updated target in place, let us move on to the priorities that will guide us in 2026. Slide nine sets forth our TDS Telecom priorities for 2026. First, we are focused on delivering our fiber build plan. In 2026, our goal is to deliver between 200,000 to 250,000 new marketable fiber addresses as we ramp up construction in the EACAM markets, continue expansion in growth markets, and enter targeted edge out communities. This work is critical. When we execute the build plan, we can see sales opportunities in these key markets. Second, we are focused on driving sales and expanding our fiber customer growth. We delivered approximately 45,000 residential fiber net adds in 2025. In 2026, we expect to increase that number by driving higher sales in both new and established fiber markets. Third, we are committed to creating a best-in-class customer experience. That means improving every interaction from installation to service to long-term retention and ensuring the systems and processes behind these touch points support a seamless high-quality experience. Fourth, we will continue executing on business transformation. The work underway will streamline processes and modernize systems in 2026, positioning us to operate as a faster, more efficient, fiber-first organization. As part of this work, we remain on track to deliver $100,000,000 in savings by year end 2028. These priorities align the organization for future success. I will now hand it over to Chris to walk through our 2025 results and our financial outlook for 2026. Chris?
Christopher “Chris” Bautfeldt: Turning to slide 10. The chart on the left shows the last five quarters of fiber service address delivery, which strengthened throughout the year. Our address cadence quarter over quarter reflects seasonality, but it also highlights the actions we took to increase crew counts in the second half of the year. In addition, EACAM activity contributed to this acceleration as those builds started to ramp in the fourth quarter. As Ken mentioned, Q4 represents our highest production quarter since 2023, demonstrating the momentum we are seeing in our fiber build engine. On the right, you can see the continued expansion of our fiber footprint. Over the last three years, we have nearly doubled the number of fiber addresses across our markets. Turning to the next slide, the chart on the left shows the last five quarters of residential fiber net adds. In the fourth quarter, we delivered over 15,000 residential fiber net adds, representing year-over-year as well as sequential improvement. This growth reflects the investments we have made in fiber address delivery during the year. The chart on the right highlights the growth of our residential fiber connections, which have also nearly doubled over the last three years. This growth is driven by ongoing footprint expansion, as well as copper to fiber conversions. We expect fiber connections to grow as we continue to expand our fiber footprint. Turning to slide 12, average residential revenue per connection was up 2% year over year. As we have seen across the industry, fewer broadband customers are choosing to bundle with video, which puts downward pressure on this metric. In 2025, we indicated that we expected more modest revenue per connection growth, and our results this quarter remain consistent with that outlook. The chart on the right shows our year-over-year revenue comparison. As a reminder, the markets we divested accounted for $3,000,000 of the revenue decline in the quarter versus prior year. Additional detail on the recent divestitures is available in the trending schedule on our investor relations website. Slide 13 focuses on full year and quarterly financial results. Total operating revenues decreased 1% for the quarter and 2% for the full year. Excluding the impact of divestitures, revenues were flat year over year for both periods. This reflects continued secular declines in our cable and copper markets offset by growth in fiber connections and modest improvement in revenue per connection. Cash expenses decreased 4% in the quarter but were up 1% for the full year, reflecting the impact of our transformation efforts in the second half of the year. As a result of lower expenses, adjusted EBITDA improved 6% in the fourth quarter. For the full year, adjusted EBITDA declined 6% primarily due to the impact of divestitures as well as the first quarter's noncash adjustment to stock-based compensation. After a big fourth quarter, full year capital expenditures were $406,000,000 as we prioritized investments in our internal construction crews and equipment to support future builds. On slide 14, we provide our guidance for 2026. We are forecasting total telecom revenues of $1,015,000,000 to $1,055,000,000. This reflects top line growth from our fiber investments, offset by industry wide declines in video, voice, and wholesale revenues. These ranges also reflect a full year impact from the 2025 divestitures, which contributed $19,000,000 in annual revenues. Adjusted EBITDA is projected to be between $310,000,000 and $350,000,000 in 2026. The 2025 divestitures and legacy revenue stream declines put pressure on this metric, but continued advancement of our fiber program and the benefits from our transformation initiatives will help mitigate these pressures. In 2026, our goal is to deliver 200,000 to 250,000 fiber service addresses. From what we delivered in 2025, and we expect capital expenditures to be in the range of $550,000,000 to $600,000,000, up from $406,000,000 in 2025. The increased CapEx is driven by EACAM builds, continued growth in our expansion markets, as well as spending on new edge out opportunities. Before turning over the call, I want to thank the entire TDS team. Because of your hard work and dedication, we ended the year on a strong footing. We are energized for 2026 and the opportunities ahead. I will now turn the call over to Anthony.
Anthony Carlson: Thanks, Chris, and good morning. As I reflect on what the Array team accomplished in 2025, I am extremely grateful for the team's hard work and perseverance during a year of enormous change and new beginnings. I am honored to have the responsibility to lead Array and look forward to growing the business over the coming years. As set forth on slide 16, Array's business portfolio has three significant yet distinct drivers of value. First, we own a portfolio of more than 4,400 towers across the United States. Originally constructed to support UScellular's wireless network, these sites are primarily located in suburban and rural areas. Notably, about one third of our towers have no competing site within a two mile radius, making them especially valuable as carriers expand 5G and other advanced technologies to meet increasing mobile data demand. Second, continue to hold wireless spectrum, principally C-band. This is a valuable asset with an existing ecosystem for deploying 5G that we are opportunistically seeking to monetize. Finally, we have minority interests in a number of primarily wireless partnerships, referred to in our financials as noncontrolling investment interests. These are passive investments that have historically generated substantial income and cash distributions. As I think about our strategic imperatives for 2026, as shown on slide 17, and how we extract value from our business, you will see the same key elements discussed last quarter: a laser focus on fully optimizing our tower operations and monetizing our spectrum. First, a brief update on our spectrum monetization process. As shown on slide 18, we have reached agreements to monetize roughly 70% of our spectrum holdings. As a reminder, in conjunction with the sale of our wireless operations on August 1, we conveyed 30% of our spectrum to T-Mobile. In addition, as previously announced, we signed agreements to sell spectrum to Verizon and AT&T in separate transactions in exchange for roughly $1,000,000,000 each. In August and October 2025, we signed additional agreements with T-Mobile to sell spectrum for total gross proceeds of $178,000,000. This primarily includes the sale of 700 MHz A block and the exercise of approximately 80% of T-Mobile's call option on the 600 MHz spectrum. In December 2025, we received regulatory approval for the spectrum sale to AT&T and that transaction closed on 01/13/2026, with the Array board declaring a $10.25 per share dividend that was paid on February 2. The remaining pending spectrum transactions are subject to regulatory approval and closing conditions. Our retained spectrum principally consists of C-band, and as I previously noted, we continue to believe this is highly attractive spectrum for 5G with an existing ecosystem that carriers can immediately put to use. While there are build out requirements for the spectrum, the first one does not apply until 2029, leaving us plenty of time to monetize the spectrum. Turning to slide 21. As noted with our Q3 results, the T-Mobile MLA significantly increases our revenue, and we continue to focus on a strong partnership with T-Mobile to ensure the integration process is well executed. The team has made material progress in Q4, processing over 2,000 applications and completing structural analyses on over 95% of the applications. This is the first key step in the integration process, and we have executed seamlessly and are now shifting focus to subsequent phases of integration. Growing colocation revenue outside of the T-Mobile MLA continues to be a key priority, and both revenue growth and new colocation application volume remains strong. In Q4, cash site rental revenue increased 64% year over year from all customers and increased 8% when excluding the T-Mobile MLA committed sites. When layering in the T-Mobile interim site revenue, the increase was 96% year over year. Also continue to see a strong pipeline with full year 2025 new colocation applications excluding the T-Mobile MLA, exceeding prior year by 47%. Like others in the industry, we disclosed in Q3 that we received a letter dated September 2025 from DISH Wireless whereby DISH asserts its master lease agreement with Array has been impacted by unforeseeable of the FCC and therefore DISH believes it is relieved of its obligations under the MLA. And despite this, DISH plans to continue to operate certain sites for a period of time. Array continues to believe that DISH's assertions are without merit, and DISH's obligations under the MLA remain intact. Since early December, DISH has generally failed to make contractually required payments. Array will take such actions it deems necessary to protect its rights under the MLA. For full year 2025, Array recognized approximately $7,000,000 of site rental revenue from the DISH MLA, and DISH has obligations at similar levels from 2026 through 2031, with a declining revenue commitment in 2032 through 2035. Slide 22 summarizes Array's financial results. Q4 was the first full quarter of T-Mobile MLA revenue, both the revenue from the MLA minimum committed sites as well as the full population of interim sites. The aforementioned T-Mobile integration volume in Q4 drove elevated service revenues as well as higher cost of operations expense due to the high volume of structural analyses conducted in Q4. Additionally, in Q4, there was a prospective change in classification of property taxes and insurance from SG&A to cost of operations. SG&A expenses in the 2025 include cost to support the wind down of the legacy wireless operations. While we began to see reductions in these costs, we continue to expect these expenses to persist into 2026 but declining over future periods. Turning to slide 24, as a reminder, T-Mobile has until January 2028 to finalize its selection of 2,015 committed sites under the new MLA. Once these selections have been made, addition to any incremental sites above the MLA commitment, Array expects to have between 800 to 1,800 tenantless or naked towers. As laid out in our strategic imperatives, we are hyper-focused on ground lease optimization and, more specifically, reducing the cash burden of our negative cash flow towers. Those efforts are coupled with our sales team continuing to aggressively market our full portfolio of towers, which will aid in reducing the naked tower portfolio. We are also assessing the future leasability of these towers and will prudently evaluate all outcomes and options over a multiyear period as we determine a path forward for the naked tower portfolio. Slide 25 summarizes the results of our partnership, or noncontrolling investment interests. This investment income and distributions are primarily from four wireless entities operated and managed by AT&T and Verizon. As discussed last quarter, investment income and distributions for full year 2025 were impacted by several onetime factors, including the impact of the Iowa partnership selling their wireless operations to T-Mobile, and distributions received from Verizon related to their transaction with Vertical Bridge. Shifting our focus to 2026, on slide 26, we provided guidance for Array for the following metrics: total operating revenue, adjusted EBITDA and OIBDA, and capital expenditures. Notably, our guidance ranges are wider than the industry norm, but there are a few key factors driving this dynamic for 2026. First, is uncertainty with the T-Mobile MLA and timing of interim site terminations, as well as the potential for incremental committed sites above the MLA minimum. And second, on the expense side, we have discussed the currently elevated SG&A expenses and the wind down of these expenses that we expect throughout 2026 and beyond. For total operating revenue, we are forecasting a range $200,000,000 to $215,000,000. This reflects a range of outcomes related to the T-Mobile MLA uncertainty and includes anticipated new colocation and amendment revenue driven from applications we received in 2025 and expect to receive in early 2026. Our guidance range does not include DISH revenues given the uncertainty related to their recent actions. For adjusted EBITDA, we are forecasting a range from $200,000,000 to $215,000,000. Given the passive nature of our noncontrolling investment interests, our guidance range assumes equity income similar to 2025, excluding the onetime events outlined on slide 25. Adjusted OIBDA guidance of $50 to $65,000,000 simply removes the equity method investments. Finally, for capital expenditures, we are forecasting $25,000,000 to $35,000,000. This range is largely driven by a degree of uncertainty around ground lease purchase volume. Our CapEx spending in 2026 will continue to include onetime tower light monitoring migration costs of about $6,000,000, as we complete our efforts to migrate tower light monitoring to our long-term solution. In closing, I want to again thank the entire Array and TDS teams who have dedicated countless hours and energy to the stand up of our tower company. Array's future is bright, and 2025 was a transformative year. I am excited about the opportunity to lead this team through a year of integration, growth, and a focus on operational efficiency. I will now turn the call back to Walter. Thank you, Anthony.
Walter C.D. Carlson: As you can see, TDS is in the midst of a vital period of transformative change. The successful close of the T-Mobile and AT&T transactions have unlocked tremendous value enabling us to expand and deepen our fiber program, stand up a strong and growing tower business, and strengthen our capital structure. Let me again thank all of the outstanding associates across the TDS enterprise for the fine work you do every day to serve our customers and advance our business. Operator, please now open the line for questions.
Operator: We will now begin the question and answer session.
Ric Prentiss: If you have dialed into today's call, please press 9 to raise your hand and 6 to unmute. Your first question comes from the line of Rick Prentiss with Raymond James. Your line is open. Please go ahead. Morning, Rick. Rick, a reminder to kindly unmute yourself. Once more, a reminder to kindly unmute yourself by—Got it. Okay. Can you hear me? Yes. Good morning. Okay. Hey. Thanks for that. Sorry for the technical problems. Appreciate it. Anthony, good to talk to you. Thanks for the update on the DISH. We were wondering if it was in or out of guidance. So as I understand it, then DISH is completely out of your 2026 guidance from revenue to OIBDA to free cash flow then? Correct. And so any settlement from that would be upside from here. Correct. Okay. Alright. And when you think about what you are seeing in the tower leasing application area, how are you feeling about the application pipeline? It does feel like a lot of the carriers are focusing on rural America, T-Mobile, Verizon, and even AT&T. But can you give us as far as some insight into what growth rates might look like from new lease activity? And how is it coming along as far as other tower companies that have been focused as tower companies for longer than you guys? They are able to break out the cash revenue contribution, say, from escalators, versus new lease activity, versus churn, call it legacy churn versus kind of carrier consolidation churn or odd events like T-Mobile, Sprint, and Mobile UScellular and DISH. How is it coming as far as getting reporting out there on new lease active new leasing activity escalators in turn. Great. Okay. And on the TDS Telecom side, thanks for, as we called it, we want the number. So we now know the number of service addresses for the long-term target. Thanks for that, Vicki and Ken. So the 2,100,000, a couple of related questions, of course, to that is, what is the definition of long term? Because it does feel like there is a race to be first to fiber, as you mentioned. The markets you have identified, you think you have got a good chance to be first to fiber there, but help us understand why is 2.1 now the right number, what the competitive dynamics look like in that? And what is the pacing? I know you mentioned 200,000 to 250,000 service addresses this year as a target. Is that something that could accelerate? But it was kind of give us a sense what is that long term mean? What is the pacing to get there?
Anthony Carlson: Yeah. So thank you, Rick, for the question. We are feeling quite optimistic about our sort of growth prospects for 2026, of course. The T-Mobile MLA for on a full year basis represents significant growth, but we also expect to see, you know, excluding DISH and excluding the T-Mobile MLA, significant same store growth. Right? So, you know, example, there are elements such as when UScellular was in the market, you provided roaming to a lot of other carriers. And so with us leaving the market, some carriers have elected to use to replace the roaming that they had with us with building up some of their own sites. So that is one element that is driving things forward. In addition, other element, other actions that we have taken, such as insourcing our sales team, and the agreement that we signed with Verizon, we have already seen positive results for in terms of driving our sales growth, and we expect that to continue into 2026. We will, we are continually in the process of evaluating which of these metrics we will put in our public reporting. Right now, we are focused on standing up an effective power company's operations. And we reserve the right to make those changes in future reporting if and as you see fit.
Vicki L. Villacrez: Yeah. Rick, this is Vicki. I will just jump in here. I was really pleased. We had a really strong fourth quarter. As you know, it is our first full quarter of reporting for Array, and we will continue to focus on this as we go forward and keep our priorities in front of us.
Christopher “Chris” Bautfeldt: Hey, Rick. This is Chris. I am going to take the first part of this question, and then I am going to hand it off to Ken to add more color. So, yeah, we are very excited to be raising our long-term fiber address target from 1,800,000 to 2,100,000. These goals reflect two multiyear fiber programs that we have in place. We have our EACAM program as well as our ongoing fiber expansion that we are building out to those 100 communities where we initially planted flags. Now we are taking advantage of additional edge out opportunities to further expand those strategic clusters, so these goals reflect when those builds are substantially complete. And as we shared last year, said that roughly a five-year time horizon from our initial goal was a reasonable time frame, and that timeframe has not changed with these increased goals. So still that 2029, 2030 timeframe, but we are doing everything we can to accelerate these goals because, as you said, we see a window of opportunity to be first to fiber in these new expansion markets, and we want to make sure to seize that opportunity.
Kenneth Dixon: Yeah. So I will add to that. I absolutely love the markets that have been selected prior to my joining. And we still see very favorable competitive landscapes. And as Chris mentioned, we have a great opportunity to be first to fiber and continue to plant those flags in the marketplace. Also see these edge outs, candidly, where we are already building and have a presence and it allows us to expand into a bigger strategic cluster. So we are very bullish on the markets that we have chosen. And we have confidence in that incremental 300,000 to bring us to the 2,100,000.
Ric Prentiss: Great. And a couple of extra color questions around that. Can you break out for us how much is going to be EACAM versus expansion markets? Because I would assume the capital spending is greater in the EACAM markets than the expansion markets. So maybe a rough breakout on how much is EACAM versus expansion of the 2,100,000 target. And then you mentioned, Ken, I think in your prepared remarks talking about focusing on sales, and that, you know, you still have a top priority and what your long-term objective is. So maybe update us on what that long-term objective is for fiber penetration.
Vicki L. Villacrez: Rick, this is Vicki. I will just jump in and say our guidance is a total capital number. But, specifically, as you are thinking about the size of the EACAM program relative to our full, full fiber target. Chris, you want to comment on that?
Christopher “Chris” Bautfeldt: Yeah. So raising our goals from 1.8 to 2,100,000, that is entirely for these additional 300,000 edge out communities adjacent to existing expansion communities. This does not include any incremental EACAM addresses. When we raised our guidance last year, that included 300,000 EACAM addresses. And so we are not moving off of that.
Kenneth Dixon: Right. I will give you a quick update to your sales question. Obviously, address delivery creates sales opportunities. So our plan for 2026 is to continue our momentum. We are seeing very good presales volumes sixty days in advance launch. The other update I will give you is, we are spending a lot of time on sales channel development. In addition, we have brought on some new door-to-door vendors based on all of the markets that we have launched and the markets that we are expecting to bring in into these new agile opportunities. So that allows us to increase our sales capabilities. We have also put significant improvement into our dot com channel, and we have a great roadmap of go-to-market execution outlined for the remainder of 2026. We also are very focused in penetration rates. You will see us focus more on multi-dwelling unit in 2026 in addition to single-family homes, and we have also brought in some new leadership to help run sales in our call center environment and sales throughout our various distribution channels. Two folks that are very tenured in the industry and have a great background in fiber sales. Thank you.
Ric Prentiss: Thanks, everybody. Thank you. Thank you.
Sebastiano Carmine Petti: Your next question comes from the line of Spazdiano Petty with JPMorgan. Your line is open. Please go ahead. Hi. Thank you for taking the question. I guess maybe cleaning up there on the fiber questions. Any help in terms of thinking about the shaping of in-year service delivery? Think Ken you kind of talked about, I mean the fourth quarter delivery was, I think, the strongest you said in, you know, since 2023. How should we think about that 02/1950, you know, ratably over the balance of 2026? Obviously, weather implications in 1Q, April. So just trying to help think about that. And then I guess in the press release, I feel like the comments regarding the C-band or just spectrum monetization seemed a little bit new or, you know, a little bit more, you know, pointed. So I was just wondering if you can help update us on how you are thinking about that, the level of conversations you might be having in the market. Obviously, the reauction of the AWS-3 midyear this year, you have visibility into upper C-band next year. So any color there would be helpful. And then lastly, I will just throw it out there. As it pertains to the buyback, any interest or what is your view on potentially buying back AD shares in the market as opposed to the TDS shares given the implied look-through discount on your own shares. How does the board perhaps maybe evaluating that? How do you think about that? Thank—I will start off with the fiber goals for 2026. As I mentioned earlier, we have, I love the markets that we are currently operating in. One of the first things that the team focused on was how do we absolutely get as many crews into the markets constructing our service addresses as possible. As you saw in my opening remarks, in the fourth quarter, we had record crew counts, and we were able to keep those crews throughout those, what I would say, winter months, and that gives us confidence going into 2026. One of the other big things that we did in 2025 is we made some very strategic investments in our internal construction capacity. We added additional equipment and plan to have additional crew capacity throughout 2026. I believe one of the biggest advantages that TDS has in the marketplace is the fact that we have internal construction crews and we also have contractors throughout the marketplace. As I mentioned, with those construction crew count levels in the fourth quarter, it gave us, what I would say, a very healthy funnel of service addresses coming into 2026, which we had not had coming into 2025. So I am very bullish on what we can accomplish in 2026. And I will hand it off for the tower question. Yeah. So in terms of, you know, the spectrum, right, you know, as you know, the primary spectrum niche from a value perspective would be maintained as a C-band spectrum. We believe that spectrum is very attractive. Speech front mid-band spectrum. Is an established infrastructure ecosystem. All major carriers can use it, and it is deployable immediately. And in addition to the major big three carriers, of course, there may even be other potential acquirers such as cable, regional carriers, speculators, what have you. You know, certainly, the availability of other spectrum could affect demand. But that could be pos, that could be positive for us as well because of where companies, where potential acquirers of the upper C-band spectrum, wind up in the band range. So we think that that is potential upside for us as well. And then, you know, want to reiterate simply that the C-band is very attractive spectrum, and we are optimistic that it has significant value. I am going to hand over the capital structure questions to—Yeah. Thank you for the question. You know, Sebastiano, you know, each company's board determines their own capital allocation based on a number of multiple factors. As you know, TDS has announced that share repurchases are a part of its capital allocation plan and use of proceeds that have come from the transactions in the special dividends. The Array organization is very focused right now on standing up the new tower business. They are excited with the fourth quarter results and our outlook for next year and very focused on growing that business going forward. So I cannot comment. That is a decision that each individual board makes.
Vicki L. Villacrez: Yeah. But would TDS consider buying AD shares rather than its own TDS shares? To not only accrete yourselves higher, but also buy back your stock at a discount to the market.
Walter C.D. Carlson: So Sebastiano, this is Walter. I think that Vicki's given the guidance that we can offer in response to your question. Issue of share buybacks is one that each board thinks about. And we do not have any further comments at this time.
Sebastiano Carmine Petti: Okay, and then one last question, is the implied EBITDA guide at TDS, does that imply ex divestitures? Does that imply growth, or how should we think about that?
Christopher “Chris” Bautfeldt: Thank you. Yes, Sebastian. No. I can take this. This is Chris. So for our adjusted EBITDA guidance for 2026, we are seeing an impact from the divest as well as those legacy revenue stream declines. But past that noise, there is growth there. And, really, that is coming from not only our investments in our fiber markets, but our continued business transformation efforts, and we are really liking the potential we are seeing from that program.
Michael Rollins: Your next question comes from the line of Michael Rollins with Citi. Your line is open. Please go ahead. Thanks, and good morning. Thanks for the additional disclosures in the deck today. If I could turn to slide 21. So in that slide where it walks through the tower revenues, you described 8% growth excluding the committed and interim sites. And just curious, if we take that now to 2026, what growth rate is embedded within the revenue guidance for '26. And then I have a question on TDS Telecom afterwards.
Anthony Carlson: Yeah. Sure. So assuming I am interpreting correctly, your request was a sort of same store growth. Right? So I want to, like, if you take out the DISH revenue, right, the fact that that is going to zero, you know, we are expecting the growth of around 6% or so on a same store basis. With DISH included, that would be closer to, you know, if you would, with DISH included, it would be closer to zero. So flattish if you assume DISH was still around, but 6% excluding DISH.
Michael Rollins: And when you, and when you think about, and thank you for that. And when you think about same store, is that the combination of existing leases and then new colocation or amendment leases signed on those locations?
Anthony Carlson: Yeah. Correct. Excluding all the T-Mobile activity.
Michael Rollins: Great. And including any churn, normal course churn?
Anthony Carlson: Correct. Great.
Michael Rollins: Very helpful. And moving over to the TDS Telecom side of the equation, you mentioned some of the issues with, you know, video take rates influencing overall account, you know, ARPU or ARPA, and just kind of curious, you know, how you are thinking about video on a go-forward basis. You know, are you able to discern in your current footprints the types of customer lifetime value churn and margin and economics of customers that are just, like, standalone broadband versus those that bundle video. And at some point, is there going to come a fork in the road where you decide, you know what? If you just kind of let video be handled by others, you know, in terms of streaming and so forth, that you could deliver a more efficient effective broadband ENL for investors. Thanks.
Kenneth Dixon: Thank you. So I will tell you when I came to TDS Telecom, I was very, very happy with the video business and what I would say very strong margins out of that video business. So I do not see us looking to outsource video. I think it is a critical part of our overall value proposition to attract a bundled customer that still wants broadband. And we still do hear loud and clear from some segments, customers that if we did not offer a video bundle, they would not have chosen TDS for their broadband service. So I still think it is very important. So I would say the other big opportunity for us in long-term value and churn reduction by having a bundled customer. We see that and we think it is still very important to our business. As you know, in 2025, we launched the mobile product to have a quad play offering to our customers, and you will see us again, as we have with video bundles, also look to bundle the mobile product much stronger throughout 2026. But, we have a very healthy video business. We are happy with the margins. And I think the team has done a very good job in terms of the content packaging. And I like where we are positioned in the market for 2026. Thank you.
David Barden: Your next question comes from the line of David Barden with New Street Research. Your line is open. Please go ahead. Hey, guys. Thanks so much for taking the question. So you guys have been pretty clear about your strategy to monetize the C-band. I am interested in your posture on monetizing specifically the naked towers that you foresee that may emerge over the course of this decision making that Mobile makes between now and 2008. But also the unconsolidated investment interests that you have largely with Verizon, how actively you are considering the monetization of those, or if you consider them kind of the anchor tenants of a going concern business and that we should really think about this as a terminal value run rate cash flow business or as a sale value business? Or which ones we should consider which? Thank you.
Anthony Carlson: Alright. So starting on with the second question first, on the noncontrolling interests, we like the cash flow from these investments. We are not in any hurry to sell them. There is only one natural buyer for those investments. If those companies are interested in buying them at a price that is attractive to us, of course, we will entertain that, but we are in no hurry to sell them if we like the cash flows from them. In terms of the naked towers, you know, our perspective on those is this: that there is significant latent value in the majority of those naked towers. Right? Some, obviously, we will need to, at some point, decommission or otherwise exit from, although decommissioning is quite expensive, and it is an interesting math exercise to go and take a look at that versus the cost of retaining them. But we view it as an option, and it is our objective at Array to reduce the holding cost of that option, you know, as quickly as possible in order to get the potential value from those towers because we do think that there is substantial lease-up opportunity on those naked towers over the long term.
David Barden: So the kind of industry standard has been to underwrite per tower per year a 0.1 incremental tenant. Is that something that you would underwrite? Or are you not confident in underwriting that, or are you more optimistic than that?
Anthony Carlson: We are not going to take a position on that at this time given just how new a situation we are in with this portfolio of towers no longer having the UScellular tenants.
David Barden: Got it. Thank you, guys. Really appreciate it.
Sergei Dluzhevskiy: Your next question comes from the line of Sergei with Gamco Investors Inc. Your line is open. Please go ahead. Morning, guys. Thank you for taking the time. Morning. Good morning. Good morning. First question is on the TDS Telecom side. Obviously, you are increasing the run rate of the build. Although in the fourth quarter, it was pretty close to the lower end of your guidance. As you look into 2026, and maybe if you look at your past build history, and what are some of the lessons learned and maybe what are some of the best practices that you are planning to utilize in 2026 to, and going forward, to make sure that the build is more efficient and more successful. Obviously, you did not meet your target in 2025 by about 10,000. But in 2026, obviously, you feel much better about the opportunity. My second question is on the Array Digital side. And, Anthony, it is nice to meet you virtually. I guess my question is, obviously, you have made progress on improving tenancy ratio since the T-Mobile transaction and running this company as a more focused tower business. As you look into 2026 and maybe even 2027, what are some of the initiatives that are working well for you in terms of improving this tenancy ratio XT-Mobile. And also, what are some of the new things that you are potentially contemplating and maybe would focus more on in 2026 and 2027 to accelerate the tenancy rate increase. And maybe my last question is also on the Array side. So, you have talked already about your focus on monetizing C-band spectrum. Obviously, we have seen several transactions last year involving EchoStar and their spectrum. We have several spectrum auctions coming up. So maybe if you can just provide more color on how you are thinking about the monetization opportunities for C-band, maybe the timeline, and to what degree some of those developments is or is other third-party transactions or with auctions are putting or creating more urgency to find an appropriate transaction sooner rather like—
Kenneth Dixon: So thank you for the question. What I will tell you is our focus is around how many crews we have out in the marketplace. That is vital to our success to deliver our targets for 2026. What we have seen at TDS in the past is that you have typically good service address delivery in the fourth quarter, but you lose most of your external construction crews through what I would say the winter months post-holiday, and then it is very difficult in the past to get those crews back in time for spring. So we have monitored that very, very closely and kept our crew counts stable in the fourth quarter. And we now are monitoring those crew counts and have those same levels here in the first quarter. So that gives us much better confidence than we have had in years past about getting off to a strong start with our service address delivery at the beginning of the year.
Anthony Carlson: So, Sujay, thanks for the question, and nice to meet you virtually as well. So there are a number of initiatives that are in place that we expect will help our performance in terms of increasing our tenancy ratio. So first, as we have mentioned before, we insourced our sales team, and we believe that that is already paying significant dividends in terms of getting our tenancy ratios up. The new deal that we signed with Verizon that we announced last year also is having an impact, as well as, I mentioned, the fact that some carriers are doing roaming replacement builds for their old UScellular network. Finally, we did not have much of a focus at all on non-tower carriers within our sales team. We do have goals that are doing that now, and we believe we are seeing early results from approaching more vertical potential tenants. So all of those are elements that we believe are going to help us increase our tenancy ratio going forward in 2026 and beyond. So a couple comments on that. First, I think those transactions with EchoStar show that there is very robust demand for spectrum. You know? And I think that bodes well for the spectrum that we indeed do have. Second is that, you know, we believe our spectrum is very valuable. We believe that if we have to, the carrying costs of maintaining that spectrum are manageable relative to the potential value that we could get for it. So we are not going to be a forced seller of the spectrum, and nor do we feel that we need to be. You know, with all that said, continue to look for opportunities to monetize it. And we are going to continue to be active in pursuing those.
Operator: There are no further questions at this time. I will now turn the call back to John for closing remarks.
John Toomey: Thank you, and thanks again to everyone for joining the call this morning. As always, please do not hesitate to reach out with further questions or and I hope everyone has a wonderful weekend. Thank you.